Operator: Greetings, and welcome to the Weyerhaeuser Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Andy Taylor, Vice President of Investor Relations. Thank you, Mr. Taylor. You may begin.
Andy Taylor: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's fourth quarter 2025 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our earnings release and on the presentation slides concerning the risks associated with forward-looking statements as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and David Wold, Chief Financial Officer. I'll now turn the call over to Devin Stockfish.
Devin Stockfish: Thanks, Andy. Good morning, everyone, and thank you for joining us. Yesterday, Weyerhaeuser reported full year GAAP earnings of $324 million or $0.45 per diluted share on net sales of $6.9 billion. Excluding special items, full year 2025 earnings totaled $143 million or $0.20 per diluted share, and adjusted EBITDA totaled $1 billion for the year. For the fourth quarter, we reported GAAP earnings of $74 million or $0.10 per diluted share on net sales of $1.5 billion. Excluding special items, we reported a loss of $67 million or $0.09 per diluted share for the quarter. Adjusted EBITDA was $140 million. I'll start this morning by thanking our employees for their solid execution and resilience in 2025. Notwithstanding extremely challenging market conditions, we delivered on the multiyear targets we established back in 2021 and launched an ambitious company-wide growth strategy through 2030. Specific to 2025, we further optimized our timberlands portfolio, expanded our climate solutions offerings, broke ground on our new TimberStrand facility in Arkansas and captured additional operational excellence improvements. We also increased our base dividend by 5% and returned $766 million of cash to shareholders, including $160 million of share repurchase. These are notable accomplishments given the headwinds our industry faced in 2025, and they demonstrate the power of our integrated portfolio, deeply embedded OpEx culture and flexible capital allocation framework. Looking forward, we remain constructive on the longer-term fundamentals that support our businesses. And as we outlined at our Investor Day in December, we're uniquely positioned to accelerate growth and drive significant value creation for shareholders through the balance of the decade. Before getting into the business segments, I'll provide a brief update on recent actions to further optimize our timberlands portfolio, all of which were previously announced. During the fourth quarter, we completed 2 divestiture transactions covering non-core timberlands in Oregon, Georgia and Alabama for total proceeds of $406 million. In addition, we entered into an agreement to divest approximately 108,000 acres in Virginia for $193 million, and we expect this transaction to close next month. Moving forward, we will continue to evaluate capital-efficient opportunities that enhance the return profile of our timberlands while balancing other growth initiatives and levers across our capital allocation framework to drive long-term value for our shareholders. Turning now to our fourth quarter business results. I'll begin with Timberlands on Pages 7 through 10 of our earnings slides. Excluding special items, Timberlands contributed $50 million to fourth quarter earnings. Adjusted EBITDA was $114 million, a $34 million decrease compared to the third quarter, largely driven by lower sales volumes and realizations in the West. Starting with the Western domestic market. Log demand and pricing softened in the fourth quarter as supply remained ample and mills continue to carry elevated log inventories to navigate a very challenging lumber market. As a result, our average domestic sales realizations decreased moderately compared to the prior quarter. Our fee harvest volumes were lower, largely due to fewer working days in the fourth quarter and the pull forward of volume over the summer months given a relatively light wildfire season. Per unit log and haul costs decreased and forestry and road costs were seasonally lower. Despite a challenging fourth quarter, it's worth noting that regional log markets are trending towards a more balanced state as supply moderates into the winter months and mills work through elevated log decks. As a result, we expect stable domestic log pricing in the first quarter with upside potential if lumber prices further improve from current levels. Moving to our Western export business. In Japan, finished good inventories remained elevated in response to ongoing consumption headwinds. As a result, demand for our logs softened in the fourth quarter, and our sales volumes decreased compared to the prior quarter. That said, our average sales realizations for export logs to Japan were moderately higher, largely driven by freight-related benefits. Looking forward, we expect demand for our logs to improve over time as inventories normalize in the Japanese market and as our customers continue to take market share from competing imports of European lumber. Turning briefly to China. In November, the ban on log imports from the U.S. was lifted. As a result, we're in the early stages of reestablishing our log export program to strategic customers in the region. However, we expect limited shipments in the near term given the weakness in the Chinese real estate sector and the seasonal slowing of construction activity around the Lunar New Year holiday. For the fourth quarter, we delivered one vessel to China and expect to send a second vessel in the first quarter. Turning to the South. Adjusted EBITDA for Southern Timberlands was $69 million, a $5 million decrease compared to the third quarter. Southern sawlog markets remained muted in the fourth quarter as dry weather conditions kept log supply ample and mills continued to align capacity with lower takeaway of finished goods. In contrast, Southern fiber markets were relatively stable outside of a few localized regions impacted by recent mill closures. On balance, takeaway for our logs remained steady, given our delivered programs across the region. And our average sales realizations increased slightly compared to the third quarter, largely due to a higher mix of grade logs and export volumes to India. Our fee harvest volumes were moderately lower compared to the prior quarter, primarily driven by fewer working days. Per unit log and haul costs increased and forestry and road costs were seasonally lower. In the North, adjusted EBITDA was comparable to the third quarter. Turning now to Real Estate, Energy and Natural Resources on Pages 11 and 12. In the fourth quarter, Real Estate and ENR contributed $84 million to earnings. Adjusted EBITDA was $95 million, a slight increase compared to the prior quarter and approximately $19 million higher than our fourth quarter guidance. This outperformance was largely driven by the timing of transactions, including the completion of a conservation easement in May. Notably, our average price for real estate sales reached a record high in the fourth quarter at over $8,200 per acre. This was mostly attributable to some high-value development transactions in South Carolina. For the full year, Real Estate and ENR generated $411 million of adjusted EBITDA, moderately higher than our revised full year guidance and $61 million higher than our initial outlook. These results were largely driven by strong demand and pricing for HBU properties in our real estate business, resulting in high-value transactions with significant premiums to timber value. They also reflect a significant year-over-year increase in contributions from our Climate Solutions business. As shown on Page 19, full year adjusted EBITDA for Climate Solutions was $119 million, a 42% increase compared to 2024, primarily driven by strong contributions from our conservation, mitigation banking and renewables businesses. Importantly, we exceeded our multiyear target to reach $100 million of annual adjusted EBITDA by year-end 2025. And at our Investor Day this past December, we announced a new target to grow the business to $250 million of annual EBITDA by 2030. I'll briefly discuss some recent highlights today and would refer you to our Investor Day materials for a comprehensive overview of each Climate Solutions business, including growth projections through the balance of the decade. In the fourth quarter, we received approval for our fifth forest carbon project and have 4 additional projects in the development pipeline. In 2025, we generated approximately 630,000 credits, a significant increase relative to the prior year, and we sold 120,000 credits in the voluntary market. We continue to see growing demand and solid pricing credits given our commitment to developing projects that meet high standards for quality and integrity. And finally, on Climate Solutions, we announced an exciting new business opportunity at our Investor Day in December. We're partnering with Aymium, a global leader in biocarbon technology to produce and sell up to 1.5 million tons of biocarbon annually by 2030. We're advancing the first facility adjacent to our lumber mill in McComb, Mississippi, and the companies are working to identify additional sites to construct new facilities across Weyerhaeuser's footprint over the next 5 years. At full scale, the platform of biocarbon facilities will have the potential to convert over 7 million tons of wood fiber on an annual basis to be provided primarily by Weyerhaeuser. This is an excellent example of how we can leverage our scale and expertise to go on offense and create new pathways for growth across our integrated portfolio. Now moving on to Wood Products on Pages 13 through 15. Earnings for Wood Products was a $78 million loss in the fourth quarter, and adjusted EBITDA was a $20 million loss. These results reflect extremely challenging lumber and OSB markets in the quarter, with pricing hovering near historically low levels on an inflation-adjusted basis. Starting with lumber. The framing lumber composite began the fourth quarter on a slight upward trajectory, largely supported by improving Western SPF pricing and broader concerns around the Section 232 tariff, which took effect in October. As the quarter progressed, ample product supply and seasonally softer demand drove composite pricing lower through early December. By quarter end, the market improved slightly as buyers replenished lean inventories and lumber volumes from Canadian producers declined noticeably. Collectively, these dynamics supported increased pricing recently, albeit from a low starting point. In particular, Southern Yellow Pine prices have steadily improved over the past 2 months. For our lumber business, fourth quarter adjusted EBITDA was a $57 million loss. Production volumes decreased 14% compared to the third quarter, and this reflects our election to moderate production across our mill set in response to the softer demand environment as well as the volume impact associated with our Princeton sawmill, which we sold late in the third quarter. As a result, our sales volumes were lower in the fourth quarter and unit manufacturing costs were slightly higher. Our average sales realizations decreased 3% compared to the third quarter, which was favorable to the framing lumber composite, and our log costs were moderately lower. Looking forward, we are encouraged by the recent increase in lumber pricing and expect demand to improve into the spring building season. As a result, we anticipate stronger performance from our lumber business in the first quarter. Now turning to OSB. Fourth quarter adjusted EBITDA was a $10 million loss, primarily driven by weaker product pricing in response to the seasonal reduction in residential construction activity. I'll note that composite pricing stabilized in December after decreasing for most of the fourth quarter. And we've seen pricing move slightly higher here over the last several weeks. For our OSB business, average sales realizations decreased by 6% compared to the third quarter, largely in line with the composite. Our production and sales volumes were slightly higher and unit manufacturing costs were comparable. Fiber costs were slightly lower in the fourth quarter. Engineered Wood Products adjusted EBITDA was $49 million, a $7 million decrease compared to the third quarter. This was driven by a seasonal decline in sales volumes across products and slightly higher unit manufacturing costs. We continue to align our production with customer demand and single-family homebuilding activity, both of which moderated into the winter months. Notably, our average sales realizations were comparable to the third quarter. Raw material costs were also comparable. It's worth pointing out that both third and fourth quarter results included a small benefit from insurance proceeds associated with the early 2025 fire at our MDF facility in Montana. In Distribution, adjusted EBITDA decreased by $2 million compared to the prior quarter, largely driven by lower sales volumes for most products. With that, I'll turn the call over to David to discuss some financial items and our first quarter and full year 2026 outlook.
David Wold: Thank you, Devin, and good morning, everyone. I'll begin with key financial items, which are summarized on Page 17. For the full year, we generated $562 million of cash from operations. Excluding a $200 million contribution related to pension liability management, cash from operations would be $762 million for the year. We ended the year with just under $500 million of cash and total debt of $5.6 billion. As Devin mentioned, we returned $766 million of cash to shareholders during the year. This includes quarterly base dividends, which we increased by 5% in 2025 and $160 million of share repurchase activity. It's worth noting that we completed our prior $1 billion share repurchase program and announced a new $1 billion authorization in 2025. This provides capacity for future opportunistic share repurchase activity and represents a meaningful lever for driving long-term value for our shareholders. Notwithstanding the challenging market backdrop in 2025, we continue to operate from a position of strength. In addition to returning a meaningful amount of cash back to shareholders, we made significant enhancements to our timberlands portfolio, grew our Climate Solutions business, deployed capital towards strategic growth opportunities and launched an ambitious multiyear growth strategy. As we've demonstrated over the last several years, we have a strong and proven track record of disciplined capital allocation and a cash return framework that's aligned with the cyclicality of our businesses. Looking forward, our balance sheet, liquidity position and financial flexibility remains solid, and we are well positioned to navigate a range of market conditions and execute our accelerated growth plan. In the fourth quarter, we took advantage of a favorable opportunity to complete the purchase of a group annuity contract that transferred approximately $455 million of our U.S. pension liabilities to an insurance carrier. This was funded with $440 million from our U.S. pension plan assets and resulted in a noncash $111 million after-tax settlement charge, which was included as a special item in our results. As previously mentioned, we also made a $200 million voluntary cash contribution to the plan in conjunction with this transaction. These liability management activities represent the latest in a series of actions we've taken to reduce our pension obligations, minimize the costs associated with servicing the liabilities and lower volatility. Since we began these efforts in 2018, our gross pension plan obligations have decreased approximately $5 billion to $1.9 billion as of year-end 2025, and we've improved our funded status by more than $1 billion as well. Key outlook items for the first quarter and full year 2026 are presented on Pages 21 and 22. In our timberlands business, we expect first quarter earnings before special items and adjusted EBITDA to be comparable to the fourth quarter of 2025. Starting with our Western Timberlands operations. As Devin mentioned, domestic log markets are trending towards a more balanced state, largely driven by a seasonal reduction in log supply, which is typical in the winter months. As a result, we expect increased demand for our logs and slightly higher domestic sales volumes compared to the prior quarter. Our average domestic sales realizations are expected to be comparable to the fourth quarter, but could see upside if lumber takeaway and pricing improve into the spring building season. Absent weather-related disruptions, fee harvest volumes and forestry and road costs are expected to be comparable and per unit log and haul costs are expected to decrease given the seasonal transition to lower elevation harvest operations. Moving to the export markets. In Japan, we anticipate steady demand from our customers and stable pricing for our logs in the first quarter. That said, we expect higher sales volumes compared to the prior quarter due to the timing of vessels. Our average sales realizations are expected to decrease slightly, largely attributable to freight-related impacts. Turning to China. As Devin mentioned, we are in the early stages of reestablishing our log export program and expect to deliver 1 vessel to China in the first quarter. As a result, our sales volumes will be comparable to the prior quarter, and we expect slightly higher average sales realizations. Moving to the South. Southern log markets are expected to be fairly stable in the first quarter. Mills continue to carry elevated log inventories and navigate lower pricing and takeaway of finished goods. That said, demand signals could improve as the quarter progresses, particularly if weather conditions limit log supply or if we see a strengthening lumber market into the spring building season. On balance, we expect our average sales realizations to decrease slightly compared to the fourth quarter, largely driven by a higher mix of fiber logs and lower export volumes to India. Our fee harvest volumes are expected to be slightly lower due to wet weather conditions that are typical in the first quarter. Forestry and road costs are expected to increase moderately compared to the prior quarter, and we anticipate slightly lower per unit log and haul costs. In the North, our fee harvest volumes are expected to be slightly lower compared to the fourth quarter, and we anticipate comparable sales realizations. Turning to our full year harvest plan. For 2026, we expect total company-wide fee harvest volumes of approximately 35.5 million tons. From a regional perspective, we anticipate the South will be slightly higher than last year. The West will be comparable and the North will be slightly lower. Moving to Strategic Land Solutions. As we announced at our Investor Day in December, this is the new name for our Real Estate, Energy and Natural Resources segment. Beginning with first quarter results, we will expand our disclosure for the segment to 3 business lines: Real Estate, Natural Resources and Climate Solutions. The new name reflects our broadening scope and growth focus across these businesses and the new reporting structure enhances the cadence of disclosure for our Climate Solutions activities. For the segment, we expect full year 2026 adjusted EBITDA of approximately $425 million. Basis as a percentage of real estate sales is expected to be between 25% and 35% for the year. Entering 2026, we anticipate steady demand and pricing for our real estate properties, resulting in a consistent flow of transactions with significant premiums to timber value. Additionally, we expect to deliver steady growth from our Climate Solutions business in 2026. First quarter earnings for the segment are expected to be approximately $75 million higher than the fourth quarter of 2025, while adjusted EBITDA is expected to be approximately $90 million higher. This reflects a very strong first quarter for our Strategic Land Solutions segment, largely driven by the timing and mix of real estate sales and the completion of a sizable conservation easement transaction in Florida. This transaction closed in January and involved approximately 61,000 acres of Weyerhaeuser timberlands. We received nearly $94 million of proceeds to convey our acreage into a permanent conservation easement, the largest of its kind in the state of Florida. The easement adds acreage to a larger Wildlife Corridor, protecting the land from future development. Importantly, the easement allows Weyerhaeuser to retain ownership of the land for continued sustainable forest management. This is an excellent example of how we can leverage our size, scale and sophistication to drive material value uplift opportunities across our timber holdings while also demonstrating our commitment to sustainable land stewardship and long-term conservation outcomes. Turning to our Wood Products segment. Excluding the effect of changes in average sales realizations for lumber and OSB, we expect first quarter earnings and adjusted EBITDA to be slightly higher compared to the fourth quarter of 2025. Benchmark prices for lumber have increased steadily over the last couple of months, and we've seen OSB composite pricing move slightly higher in January. As the quarter progresses, we expect demand for both products to improve seasonally into the spring building season. It's worth noting that a $10 change in commodity prices translates to approximately $50 million of annual EBITDA for lumber and approximately $30 million for OSB. For our lumber business, we expect higher production and sales volumes in the first quarter and lower unit manufacturing costs as we return to a more normal operating posture. Log costs are expected to be slightly lower. For our oriented strand board business, we anticipate slightly higher sales volumes and slightly lower unit manufacturing costs compared to the fourth quarter. Fiber costs are expected to increase slightly. In our Engineered Wood Products business, we continue to anticipate close alignment between product demand and single-family homebuilding activity. As a result, we expect relatively stable sales volumes for most of our products in the first quarter with some slight seasonal improvement as the quarter progresses. Our average sales realizations are expected to be slightly lower and raw material costs are expected to be comparable. For our distribution business, we expect adjusted EBITDA to increase compared to the fourth quarter, largely due to improved sales volumes. I'll wrap up with some additional full year outlook items highlighted on Page 22. In 2026, we expect our interest expense to be approximately $255 million. For taxes, we expect our full year effective tax rate to be between 8% and 12% before special items based on the forecasted mix of earnings between our REIT and taxable REIT subsidiary. Our noncash nonoperating pension and post-employment expense is expected to be approximately $60 million. We do not anticipate any required cash contributions to our U.S. qualified plan in 2026, but expect approximately $20 million of required cash payments for all other plans. Turning to capital expenditures. We expect our typical programmatic CapEx to be between $400 million and $450 million in 2026, in line with our new multiyear target. This excludes the investment required for the construction of our new EWP facility in Arkansas, which we expect to be approximately $300 million in 2026. As we've previously communicated, capital expenditures associated with this project will be excluded for purposes of calculating the company's annual adjusted FAD as used in our flexible cash return framework. With that, I'll now turn the call back to Devin and look forward to your questions.
Devin Stockfish: Thanks, David. I'll make a few brief comments on the housing and repair and remodel markets. Starting with housing. Overall, housing activity was lackluster in 2025. While we don't yet have the most recent housing data, we do expect total starts to come in somewhere around 1.3 million units and single-family starts a fair bit below 1 million units. The combination of weak consumer confidence and ongoing affordability challenges continue to be headwinds for housing activity. While mortgage rates have declined in the low 6% range here recently, many potential homebuyers remain on the sidelines, given elevated uncertainty about unemployment and the economy. Based on conversations with our homebuilder customers, we've heard some modest optimism for 2026 in response to the administration's recent actions and commentary to support the housing market, most notably their decision to purchase $200 billion of mortgage-backed securities. While it's too early to gauge the full impact of federal housing-related policies, they should be directionally positive, especially if we see mortgage rates trend lower. And aside from federal policies, we're also seeing state and local governments expressing an increased level of interest in supporting the housing market. All of this should create some tailwinds for housing activity, but it will likely take some time to play out. In the near term, I suspect we'll continue to see choppiness in the housing market as consumers navigate ongoing affordability challenges and uncertainty around the economy. That said, our longer-term outlook on housing fundamentals remains favorable, supported by strong demographic trends and a vastly underbuilt housing stock. Turning to the repair and remodel market. Activity decreased somewhat in 2025, largely driven by many of the same factors impacting the residential construction market, namely lower consumer confidence, higher interest rates and concerns around the trajectory of the economy. And to some degree, the repair and remodel market continues to be impacted by the lower turnover of existing homes as a result of the lock-in effect. Looking out into 2026, we could see an uptick in R&R activity, especially if interest rates move lower and we get some improvement in existing home sales. In addition, the deferral of large discretionary projects over the last few years should ultimately serve as a tailwind, particularly as the macro environment improves. But similar to housing, a material pickup in repair and remodel activity likely will require an improvement in overall consumer confidence. Putting the near-term uncertainty aside, our long-term outlook continues to be positive as many of the key drivers supporting healthy repair and remodel demand remain intact, including favorable home equity levels and an aging housing stock. Finally, I'll make a few comments regarding the multiyear targets we set in 2021 and touch briefly on the accelerated growth strategy we outlined at our recent Investor Day in December. As highlighted on Page 19, we successfully delivered on the ambitious multiyear targets we announced at our previous Investor Day back in 2021. Starting with our portfolio, with the transactions we completed and advanced in 2025, we achieved our multiyear billion-dollar timberlands growth target. In the process, we offset a substantial portion of our acquisitions with divestitures of non-core acreage, effectively recycling capital to enhance the quality and value of our portfolio. In Climate Solutions, we exceeded our 2025 growth target by $19 million. We've built a world-class team. We've expanded our offerings and have a strong pipeline of future opportunities to drive incremental growth. In lumber, we made disciplined investments to reduce costs across the mill set, and these investments will ultimately enable production growth as market conditions improve. In terms of our operations, we maintained strong relative performance across our businesses and met our multiyear OpEx targets, a notable achievement given the inflationary and market-related headwinds we faced during this period. And finally, we continue to demonstrate our commitment to returning meaningful amounts of cash back to shareholders through 4 consecutive annual increases to our quarterly base dividend and over $6 billion of cash return from 2021 through 2025, including nearly $1.1 billion of share repurchase. I'm incredibly proud of these accomplishments, all of which enhance our strong foundation and position us for our next chapter, which is accelerated growth. Page 20 summarizes the key takeaways from our Investor Day in December, which is a target to deliver $1.5 billion of incremental adjusted EBITDA by 2030 measured against the 2024 base. Over the next 5 years, we intend to catalyze growth initiatives across the entirety of our integrated platform to significantly grow the value and cash generation capabilities of our company and further strengthen our competitive position. I'll note that most of our growth initiatives are, to a large extent, within our control and already underway. These actions will enhance our ability to maximize cash flow per share while maintaining a stable foundation across market cycles and ultimately, position Weyerhaeuser to deliver industry-leading shareholder returns. I'm very confident in our ability to achieve our 2030 growth plan and excited to deliver on this transformational program for our stakeholders. So in closing, our performance in 2025 reflects solid execution across our businesses, notwithstanding the persistent and significant headwinds in many of our end markets. Entering 2026, our foundation is strong, and we're well positioned to capitalize as market conditions improve. We remain focused on serving our customers and advancing our strategy to accelerate growth and drive significant long-term value for shareholders. So with that, I think we can open it up for questions.
Operator: [Operator Instructions] Our first question comes from Hamir Patel with CIBC.
Hamir Patel: Devin, on the pricing front, do you think the improvement we've seen so far this year for both lumber and OSB is largely a reflection of curtailments? Or is underlying demand actually picking up?
Devin Stockfish: Yes. I mean I think the reality is it's primarily driven by curtailment activity. I think on the lumber side, a piece too, just the reduction in the volumes coming across the border from Canada. That being said, as we continue to approach the spring building season, you do typically start to see some level of pickup in demand. Obviously, across the South, we've had a pretty significant weather event here. So I'm not sure there's been a lot of construction activity. But that being said, every week that you progress towards spring building season, people are starting to ramp up. And so that's probably a small piece. But I do think at present, it's largely a supply side-driven increase.
Hamir Patel: Okay. And then just given how much Southern prices have moved, it looks like they're quite comfortably above breakeven for the industry. Are there any constraints that would stop us seeing a more meaningful production response?
Devin Stockfish: Yes. I mean a couple of things I would highlight. I mean, I think you're right. Obviously, we've seen a nice run-up in Southern lumber prices, and that's probably moved most of the industry above cash flow breakeven, whether it's all of the industry or not, open question, I suppose. But you can see some level of increase in production. I think overall, the industry has been pretty restrained in terms of running overtime shifts, running a full operating posture. So there's probably a little bit of flex in the system. But that being said, I do think you're going to continue to see less volume coming across the border from Canada. So part of this story is really about how quickly we can convert some of these traditional SPF markets to Southern Yellow Pine. And I will say on that front, I mean, we're encouraged by some of the early activity that we've been involved in, in making that happen. So there's a little bit of additional volume that we could see if the producers really start ramping up production. But I still think, particularly as demand picks up into the spring building season, it feels like there's still probably some room to run on Southern lumber prices.
Operator: Our next question comes from Susan Maklari with Goldman Sachs.
Charles Perron-Piché: This is actually Charles Perron in for Susan. I just wanted to follow up, Devin, on the last question that was asked about the demand. Considering the commentary and the increased optimism that we've seen over the past few weeks from the builders, I was wondering if you can talk about the thoughts on inventory and how you approach the spring and busy season here? And especially any thoughts on the retailers and how they're approaching this market given the potential for some inflation in commodity prices?
Devin Stockfish: Yes. When you're talking about inventory, you're talking about home inventory or lumber and OSB inventory?
Charles Perron-Piché: Sorry, lumber and OSB inventory.
Devin Stockfish: Yes. I mean I think on balance, inventories across the channel are in a pretty reasonable state for this time of year. I wouldn't say for the most part, they're either lean or heavy. The one maybe minor exception to that would be in certain regions with OSB. I do think towards the end of last year, a lot of folks really ran their OSB volumes and inventory is pretty low. And so that might be a minor exception. But on balance, I think the inventory levels across the channel in all of the products are adequate for the level of building activity. Now clearly, as the weather improves and we start getting deeper into the spring, people will have to start building inventory because demand just seasonally picks up regardless of what you think is going to happen in terms of overall housing improvement. So I think we're pretty well set. And a lot of this will just depend on when people start building inventories, when the building season really starts ramping up, there's a weather component to that. But I think we're optimistic that we could see some nice pickup in demand as we hit the seasonal spring building season.
Charles Perron-Piché: Got it. That's helpful color. And then switching to the timberland portfolio. How are you approaching your A&D decisions into 2026, considering the strong appetite that you noted for HBU properties in this environment?
David Wold: Yes, Charles, you bet. This is David. I'll take that one. I mean right now, I think you're right, we continue to see a very solid market right now. I guess just reflecting on the market as a whole, we typically think about that being in somewhere the $2 billion to $3 billion range on the timber acquisitions and divestiture market, came in towards the upper end of that range for 2025. And I think as we move into 2026, expect to see a similar normal level of activity. There's plenty of capital that's pursuing these transactions, a significant amount raised over the last several years with a mandate to invest in this asset class. So I think we continue to expect to see that demand with the growing appreciation for all the alternative land-based value opportunities that are inherent. And I think you also see that in our HBU transactions over the course of the fourth quarter. Our real estate team did a great job capitalizing on a couple of transactions in the Charleston area. We talked about some of our real estate development opportunities at our December Investor Day, and those were some great opportunities for capitalizing on some high-value acreage, really unlocking the value of our portfolio. And so we're really pleased to be able to see that.
Charles Perron-Piché: And just to follow up on the last comment. Is there any other opportunities you could see to make similar deals to the large conservation easement transaction that you've done in Florida? Is this something like that could happen again across your portfolio?
David Wold: Yes, certainly. I mean we have a dedicated team that's focused in this area. Really, the transaction that we executed on in December was a really unique opportunity that our scale, sophistication, the talent that we built up uniquely positioned us to be able to execute on a transaction like that. And similarly, in the future, we'll evaluate all sorts of opportunities to do transactions such as those.
Operator: Our next question comes from Anthony Pettinari with Citigroup.
Anthony Pettinari: I was wondering if you could talk about operating rates in lumber and OSB. And then in the spirit of black at the bottom, what kind of steps you've taken to improve profitability ex-product price improvement? And if we stay 1.3 million starts, maybe single-family $1 million or below $1 million, if that were to continue for a few years, just kind of how you think about the footprint and the size and just sort of general thoughts there.
Devin Stockfish: Yes. Well, first, on the operating rates, in Q4, in lumber, we were sort of in that mid-70% operating rate. As we noted, we took some steps to intentionally dial that back just given the dynamic in the market. OSB kind of in that mid-90% range was pretty typical for us. As we think about the overall market, obviously, the Q4 pricing environment for lumber and OSB was about as tricky and challenging as we've seen in a very long time. And so while we're certainly not pleased to have been underwater in Q4, we weren't alone. I think that was something that impacted the industry as a whole. I think over time, what you'll see is that we have navigated this better than the rest of the industry. We're always focused on OpEx. Certainly, in a market where you're at sort of trough pricing, that becomes pretty challenging. But over time, it all comes down to where are you on the cost curve relative to the rest of the industry and the work that we've been doing over the past decade, the focus that we've had on OpEx, I think, has positioned us very well on the cost curve. And that will show up over time. The reality is you're not going to see pricing at levels where the majority of the industry is underwater. We've seen that play out perhaps for a little bit longer period than we had expected. But you've seen a fair bit of mill closure announcement. You've seen mill capacity curtailments. You're starting to see the results of that activity and some of the pricing uplift. So I know it's tricky when you are at that trough. But when you look out over a broader period of time, certainly, I think we're going to be positioned well relative to the rest of the industry, and I expect us to get back to profitability here in the very near term.
Anthony Pettinari: Got it. Got it. That's very helpful. And then just switching gears on EWP and Monticello -- like given the weakness in single-family housing construction, if you had all that capacity with Monticello if it was online today, is the performance of the product such and the market -- kind of the share gain such that you'd be able to kind of be sold out? Or I'm just trying to understand like if single-family starts continues to be kind of tepid and Monticello comes online, is the demand for the product such that you're just going to sell it out anyways? Or would the ramp be slower? Or just how should we think about that in the context of sort of different levels of single-family demand?
Devin Stockfish: Yes. I think a couple of things to keep in mind with respect to timber strand specifically. Number one, we do think we can take market share from other products with the TimberStrand product line. It's got a cost structure and a performance structure that we think we can effectively go out and take market share from other products, whether that's lumber or other EWP products. Second, it is a pretty broad end-use opportunity, whether you're talking about single-family, multifamily, I think there's opportunities in commercial, in mass timber. So it's got a pretty broad set of opportunities beyond single-family. And so we're feeling very optimistic about this mill coming online and our ability to sell it out relatively quickly. Now obviously, when you're starting up a new mill, it's not going to come out of the box on day 1 at 10 million cubes, right? It takes a little time to ramp these up. But we've got a sales and marketing plan in place to be able to go out there and move this product. And it is, as we've mentioned previously, one of the top products in our suite of EWP products. So we're encouraged and excited about it. And even if we are in this kind of housing market, we feel good about our ability to move it.
Operator: Our next question comes from George Staphos with Bank of America.
George Staphos: So David, Devin and Andy, I guess the first question I had, you did a real nice job in the South on mix from what we were looking for. You had mentioned a lot of things that you were sort of challenged by. We had heard log decks were pretty full and the like, and yet you had nice mix. You were up. A lot of that you said was from fiber log sales in the quarter. I was wondering what else contributed to the mix benefits? I know you mentioned exports to India and why that doesn't continue into the first quarter? Because it sounds like mix will be down even though you're going to be selling a bit more on the side of fiber logs. Is it just that exports will dissipate sequentially into 1Q? And what are the risks to the upside on that front? And then I had a follow-on.
Devin Stockfish: Yes. I mean the answer to your initial question is really just we have the scale and diversity of customers to be able to operate through a whole variety of different markets. And that's really what we've been doing here over the last several quarters where you've seen some headwinds, largely related to end markets in lumber and OSB. But as we think about Q1 and the mix, I mean, to a degree, these are all around the margins, right? And so in any particular quarter, your harvest plans might have a little bit more big logs versus small logs or vice versa. You may have a little bit more thinning activity in the mix. And so really in the South, the Q1 is -- we just have a little bit more thinning activity. So there's just a little bit more pulpwood in the mix. I don't think there's any sort of material change in how we're operating the business. You see those sort of minor fluctuations quarter-over-quarter, and that's really just a reflection of that. In terms of India export program, we're really excited about how that's going. In any particular quarter, just depending on how the shipping schedule plays out, you might have 1 break-bulk ship versus 2 or vice versa. And so that's really just the mix story is nothing material. It's just kind of those minor differences you see quarter time to time.
George Staphos: And then a follow-on question in EWP, we're seeing at least some pickup in dimensional lumber markets. Again, as was discussed earlier, a lot of that at this juncture is probably more supply than demand driven. But nonetheless, prices are heading higher. We'll see what happens, but it sounds like construction markets will be stable or better this year. And just wondering why we're not seeing that yet show up in EWP pricing and it's not significant. You didn't say it would be down a lot, but you're signaling a modest decline in EWP pricing sequentially into 1Q. And just wondering how you see that market in terms of supply-demand, competition, mix this year and in particular, what's driving 1Q?
Devin Stockfish: Yes. I mean, as you know, George, it's really all about what's going on in single-family. That's the primary driver for EWP. And we have seen 2025 was the fourth down year in a row in terms of housing starts. And so that just puts some pressure on EWP. Unlike OSB and lumber, you just haven't really seen mill shutdowns or the level of curtailments that you've seen in some of those other product lines. So on the demand side, we're expecting -- our base case is that housing is going to be up slightly in 2026 relative to 2025. And look, perhaps if we could see even more downward pressure on mortgage rates, perhaps there's even some upside. So that's just kind of where we are. And in an environment where housing has been going down for 4 years in a row, that puts a little bit of pressure on the EWP. But that being said, I think when you look at our performance relative to others, our realizations have held up better than others, and we're out there really trying to take advantage of the moment and pick up market share and really deliver value to our customers. And markets go up and down with housing, and you just got to be able to navigate both the highs and the lows, and that's what we're doing. So we're still feeling very good about the EWP business. The team is doing a great job, service model, product quality. We're going to be rolling out some new products at the Builders Show. So we're excited about the opportunities in that business.
Operator: Our next question comes from Mark Weintraub with Seaport Research Partners.
Mark Weintraub: Devin, lots of commentary on housing, single-family. Just curious, maybe a bit more in the way of detail what you're seeing in repair and remodel and what type of pull-through maybe you've already started to see and any indications that might suggest and what you're hearing from customers in terms of potential outlook for the year? Presumably, it's mostly important for your lumber business, but if this is important for anything else, maybe share that with us as well.
Devin Stockfish: Yes, you're right. It's primarily a lumber play from us, although, I mean, there's still some OSB takeaway out of that market. And increasingly, and still around the margins, but a growing piece, I think there's an opportunity with EWP into that market as well. But I'd say right now, I don't know that we've seen any sort of material pickup in activity on the ground today. Obviously, the weather issue that we just had across the South has not been helpful for construction activity. But I would say, in terms of outlook, our customers in the R&R channel are expecting to see some level of growth year-over-year, probably in the low single digits. But certainly, that's an improvement over what we've seen over the last couple of years.
Mark Weintraub: Okay. And I recognize it's a tough question, but what type of single-family starts or housing starts level do you think are required in the different businesses to sort of sustain balance in the markets for the course of the year at this point, keeping -- taking into account some of the mill closures that you've been seeing kind of begin to add up.
Devin Stockfish: Yes. I mean I don't think we're really that far off in lumber. We've certainly seen a whole lot of mills closing down over the last several years. It doesn't feel like we're really all that far out of balance from a lumber standpoint. And I think from an OSB standpoint, we're probably not that far off there either. Obviously, one of our competitors announced a pretty large closure that's going to be taking effect in March. So we're probably not that far away in OSB either. EWP is a little different. You just haven't really seen any sort of meaningful curtailments or closures there. So when we think about housing starts, I mean, not that it's not relevant, of course, it is, but it's really what housing starts do we need relative to the supply that's available in the system. And those 2 things do balance out. Sometimes it's a painful period to get there. But what I would say, Mark, is the silver lining here is, at some point, we're going to see an improvement in housing activity. I really do believe that fundamentally. And as the overall supply base has worked its way down to be more appropriate for a 1.3-ish million housing starts scenario, as the housing demand picks up, you do typically have a run on the other side where demand gets a little bit stretched as that -- the overall housing activity picks up. So at some point, we'll hit that, and we should have a nice run in both lumber and OSB.
Mark Weintraub: Great. And maybe one -- a little bit off the beaten track, but -- so Potlatch and Rayonier closes today. Have you guys given thought as to kind of any implications and maybe there's not much, but that you think having them as competitor instead of 2 -- just 2 timber REITs out there instead of 3? Any thoughts that you've been having about that?
Devin Stockfish: Yes. I mean I can't see any sort of meaningful impact to us. We competed with them individually. We'll compete against them collectively. It's not really going to make a whole lot of difference in the marketplace with our customers. So I don't think it's going to have any sort of meaningful impact to us.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson.
Kurt Yinger: I wanted to go back to the Investor Day targets. If we were to just kind of hone in on the next 12 or 24 months, can you talk about maybe a few of the main areas that you expect could be kind of more meaningful contributors? And any sense of kind of guideposts and thinking about how much of that $1 billion you might expect over that time frame?
David Wold: Yes. You bet, Kurt. I mean, as we think about those targets, really, I'd have you look back at the growth in our Climate Solutions business over the last several years, right? It's not necessarily going to be linear, especially in the early portions of this growth. We got a lot of work done over the course of 2025. Of course, we laid out our targets publicly at the end of the year. But really over the course of 2025, we did a tremendous amount of work laying the groundwork, building out the project plans, identifying resources to go after these initiatives in a thoughtful and detailed aggressive way through 2030. So as we think about the larger buckets, we've already made some progress towards some of those growth areas, thinking about going back to the Climate Solutions space. That's an area that we demonstrated progress on from our 2024 baseline to 2025, growing that from $84 million to $119 million the growth that we've done with the timberlands optimization, that's going to contribute. Some of the other buckets, thinking about TimberStrand, some of the biocarbon initiatives, those are going to be a little bit more chunky as those facilities come online later into it. So again, I think it's not something we can necessarily give you granular guidance, but we're really pleased with the progress that we've made to date. We'll continue to report out on our progress as we progress through 2030.
Kurt Yinger: Got it. Okay. That's helpful. And then on the acquisition and divestiture front, I guess, net of the deals that you did in 2025, with what you've added, is that expected to be like a net positive in terms of timberlands profitability in 2026? And then kind of looking at the Virginia transaction specifically, how would you have us think about what that property was doing from kind of an EBITDA or cash flow perspective?
David Wold: Yes. Yes, sure, Kurt. I guess, first of all, just on the broader timberlands portfolio optimization, obviously, a lot of that can get lost in the noise of market dynamics with things being a little bit more challenging, particularly with Western log pricing over the past period of time. So it can be a little bit challenging to see that in the results at times. But really, I'd point you back to the materials that we presented at Investor Day. We showed that the portfolio optimization work going back to 2020 is going to drive $60 million on average of incremental cash flow in the timber space. So you got to slice and dice that a little bit to think about the '24 period onward in terms of the growth target, but very pleased at that. And absolutely, the activity that we did over the course of 2025 is going to be net positive to our cash flow generation capabilities. The Virginia properties, in particular, I don't know that we're going to get into specifics on the EBITDA levels there. But any time we're thinking about the candidate for divestitures, we're looking to continue our journey to improve the overall cash flow generation capabilities of the portfolio. So while these were high-quality assets in the broader market, great interest from other parties, they were certainly below average for our portfolio in terms of cash flow per acre, harvest tons per acre without significant integration. So not something that we anticipate having a meaningful impact on our timberlands EBITDA generation.
Operator: Our next question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Maybe a couple of questions on capital allocation, Devin or David. Leverage climbed to 5x this quarter, and it looks like it could move higher depending on what happens to lumber OSB prices in the coming quarters. Curious kind of where is your comfort level as we move through 2026? I know kind of having an investment-grade rating is very important for Weyerhaeuser. But I'm just curious kind of where is your comfort level so far as net leverage is concerned.
David Wold: Yes. Look, Ketan, I would say a couple of things on the leverage topic. As we think about capital allocation, there's a couple of foundational elements. You mentioned the investment-grade credit rating, and that's foundational of holding the base dividend, that is foundational, so yes, we have tracked higher from a leverage perspective. But as you know, again, that 3.5x net leverage target that we have is a mid-cycle number. And so certainly, we would like to see our leverage number lower today. But just as we saw a couple of years ago when markets were really strong and we were hovering around 1x leverage, that's not necessarily something that's going to persist. I think you have to look at the commodity pricing environment and the impact that's having on the EBITDA portion of the net debt-to-EBITDA calculation. And I also think I'd point out a couple of things in terms of context on the work we've done on our balance sheet over the last several years. We paid down a significant amount of debt. If you go back to 2019 and compare our interest expense, we reduced our annual interest expense by $100 million during that time period. We've optimized our portfolio. So notwithstanding the current state with the denominator in that net debt-to-EBITDA calculation, we feel really good about the strength of our balance sheet and the work we've done to strengthen that. So we have a tremendous amount of flexibility as we think about the balance sheet moving forward.
Devin Stockfish: And I'd even say, I mean, this is working exactly as we would have expected. When you tell me that -- you would have told me that at peak pricing, we'd be at 1 and at trough pricing, we'd be at 5, and we kind of bounced around in between over the course of the interim. I would say that's pretty much exactly how we would expect this to work.
Ketan Mamtora: Got it. Okay. No, that's helpful. And then just one other question. Given sort of the disparity between public and private market values in timberlands, would you be open to doing more divestitures in addition to kind of the one that you are doing in Virginia out if the right opportunity presented?
David Wold: Yes, absolutely. I mean, Ketan, we're going to do anything that we think drives long-term shareholder value. I think we've shown we've been open to divesting portions of our portfolio. The activity that we do in our real estate business also capitalizes on the value that we can unlock in our portfolio. So absolutely, we'd be open to anything that's ultimately going to drive value. I think that's something that we've demonstrated. We can be adding value any time we transact on our portfolio, whether that's on the buy or the sell side. So we'll continue to look for opportunities to optimize our portfolio.
Ketan Mamtora: In the near term, though, would you say that you would be more of a net seller versus a net buyer or not necessarily?
David Wold: Again, I think we're going to look at all the opportunities that are available. So we're going to look to optimize shareholder value for the long term. And so we'll look to be active in that portfolio any time that it makes sense to transact on our portfolio.
Operator: Our next question comes from Matthew McKellar with RBC Capital Markets.
Matthew McKellar: First, you talked about upside potential in Western sawlog markets if lumber prices pick up. Could you help us just give us a sense of what kind of increase in prices or sawmill demand, however you'd like to frame it, that you'd need to see to create real tension and price momentum there? And then from the supply side, it seems like a bit of a marginal change, but will you expect the expansion of buffer zones around the non-fish-bearing streams in Western Washington later this year to have an impact on log markets there in the West?
Devin Stockfish: Yes. On your first question, the markets are fundamentally tension in the West. And what we've seen from a Western log pricing is really just a reflection of really weak lumber pricing. And you'll see periods of time where buyers will purchase logs at prices that put them under water, but they just can't do that for extended periods of time. So you typically see a pretty strong log price reaction as you see lumber prices move up. Now there may be a month or 2-month lag in that catch-up. But if you continue to see lumber prices move up in the West, we've seen a bit of that here recently, you'll see log prices follow along shortly thereafter. With respect to your second question, that relates to some regulatory changes happening in Washington state. Look, as with almost all regulations in Washington or Oregon or really any environment where we operate, we have the scale and expertise to navigate those pretty well. So I wouldn't expect that to have a meaningful impact on us. It may to others, particularly smaller landowners. There were some, I would say, flaws in the rule-making process to bring that forward, which is why there are several lawsuits underway. So it's not even entirely clear to me that those rules will ultimately come to fruition. But if they do, we'll manage through it, and it shouldn't be too impactful to us.
Matthew McKellar: Great. That's very helpful. And then just quickly, you mentioned elevated log inventories at mills in the South. Can you maybe just give us a sense of how those inventories would compare to where they'd normally be this time of year?
Devin Stockfish: Yes. I mean when we say that, we're talking about if a mill typically carries 7 or 8 days of inventory and maybe they're carrying 8, 9, 10. So you can -- in the South, it's not like in Canada where they're carrying really, really large log decks. You can work through these pretty quickly if you have either a weather event that limits log supply into the system or if you see a pickup in lumber demand and people start running full and picking up overtime shifts. So you can move through that pretty quickly. The impact in the near term is just if you're log decks full, you don't necessarily have to get too aggressive on pricing. You can take a little bit more risk around the margins. But again, that can reverse itself pretty quickly depending on circumstances.
Operator: Our next question is from Hong Zhang with JPMorgan.
Hong Zhang: I guess 2 questions for me. Number one, how are you thinking about the pace of share buyback activity given the recent rally in the stock? And for my second question, it's encouraging that export shipments are resuming in China. Do you expect export volumes to, I guess, normalize sometime this year? Or is that more of an outer year thing?
Devin Stockfish: Yes. Maybe I'll take the export question and David can hit the share repo question. On the export piece, I do expect that to ramp up a bit over the course of the year, but I do not expect it to get back to where it was a handful of years ago. That's just really a reflection of the lower real estate activity that we're seeing in China until that picks up. I don't know that you're necessarily going to see the ramp back up to kind of those more teens -- 200 teens levels of China log demand. But nevertheless, super excited about getting that program ramped up. Any option for log customers is great for us, and that will be helpful for our Western system.
David Wold: Yes. And then with respect to share repurchase, look, we've said that's a useful tool in the right circumstance to return cash to shareholders. We have a framework that we've used consistently to evaluate capital allocation decisions. Obviously, the factors that go into that, the math is dynamic, but the process is consistent. We've been very active over the course of 2025 in our share repurchase activity, completed $160 million. That was our highest annual level in a few years, closed out the prior $1 billion authorization, announced the new one. So yes, at recent trading ranges, we continue to view that as a very attractive lever. But of course, we're going to continue to weigh all the opportunities available, not just share repurchase. And so that includes maintaining the focus on ensuring we've got a strong balance sheet, capacity for future growth opportunities. So as always, we'll continue to look to allocate our cash in a way that creates the most value for shareholders.
Hong Zhang: And I hope the weather treats you better over there than it's going to treat us over here.
Devin Stockfish: Alright. We hope that too.
Operator: Our final question is from Michael Roxland with Truist Securities.
Niccolo Piccini: This is Nico Piccini on for Mike. Just starting off, the 1Q Timberlands EBITDA guide seems maybe a little light relative to history. I think there's usually a bump up from 4Q to 1Q. We've had some commentary so far, but I guess how does that reconcile with the comments that regional log markets are kind of trending more towards balanced supply/demand even if you have some inventory out of whack?
Devin Stockfish: Yes. So the way I would frame that up for you is -- when you look at Q4 and Q1 to date, we've just seen largely because of what's happened in the lumber market, we've seen pretty soft log prices. And so to some degree, last year, we kind of saw that trending that direction. And so we pulled a little bit more volume into the summer months so that we could take advantage of higher pricing. And so what you saw is volume coming off in Q4 as well. As we've trended into Q1, when we entered Q1, and so for January and to date, log prices are still softer than we would like. And so you look at our Q1 volume in Western Timberlands it's down relative to what you'd normally see in Q1. Now we still have comparable volumes across the year. And so we're going to spread that out as the year progresses when we expect to see pricing a little higher. So quarter-to-quarter, you might have these little fluctuations in volume depending on what's going on in the market. But our primary goal, obviously, is to maximize profitability across the year. And so that's really the context around Q1 as we pulled a little bit of volume back, primarily because January and early February, we think pricing is going to improve as we get deeper into the spring and the building season. So we're going to put a little bit more log volume into the market when pricing is better.
Niccolo Piccini: Got it. That makes sense. And then just following up, in your base CapEx target of $400 million to $450 million, excluding Monticello, what are some of the key projects there that you're looking to complete in 2026?
David Wold: Yes, you bet. So yes, we did guide the $400 million to $450 million. That is in line with the guidance that we provided back in December at our Investor Day. Really thinking about it, it's the typical suite of projects. On the timberland side, that's reforestation, silviculture, roads, bridges, those kind of things. On the wood products side, it's thinking about the projects that we've successfully completed in some of our lumber mills, replicating those elsewhere, really with a focus on reducing cost, improving recovery, improving reliability. So really more of the same in terms of the themes that we've been working on in our CapEx program over the last several years.
Niccolo Piccini: Got it. No one particular big project to call out or anything outside Monticello?
David Wold: No. That's right.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to Devin Stockfish for closing comments.
Devin Stockfish: All right. Well, thanks, everyone, for joining us this morning, and thank you for your continued interest in Weyerhaeuser. Have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.